Operator: Good day ladies and gentlemen and welcome to your Q4 2010 Rambus Incorporated conference call. At this time all participants will be in a listen-only mode and later we will open up the question-and-answer session, which instructions will be given at that time. (Operator Instructions) And as a reminder, today's conference is being recorded. And now, I would like to introduce your host for today, Satish Rishi.
Satish Rishi: Thank you operator and welcome to the Rambus fourth quarter conference call. I'm Satish Rishi, chief financial officer and on the call today are Harold Hughes, our president and CEO; Tom Lavelle, senior VP and general counsel; and Sharon Holt, senior VP and general manager of the semiconductor business group. The press release for the results that will be discussed here today has been filed with the SEC on Form 8-K. A replay of this conference call will be available for the next week at 800-642-1687. You can hear the replay by dialing the toll-free number and then entering ID number 36198129 when you hear the prompt. In addition, we are simultaneously webcasting this call and a replay can be accessed on our website beginning today at 5:00 P.M. Pacific Time. I need to advise you that the discussion today will contain forward-looking statements regarding our financial prospects, pending litigation, and demand for our technologies, among other things. These statements are subject to risks and uncertainties, which are more fully described in the documents we filed with the SEC, including our 8-Ks, 10-Qs and 10-Ks. These forward-looking statements could differ materially from our actual results and we are under no obligation to update these statements. Further, we will discuss non-GAAP financial results on the call today and have posted on our website reconciliations of these non-GAAP financials to the most directly comparable GAAP measures. You can find a copy of our earnings release and the reconciliation on our website at www.rambus.com, on the Investor Relations page under financial releases. Now, I'll turn the call over to Harold.
Harold Hughes: Thanks, Satish, and good afternoon, everyone. 2010 was an absolute banner year for Rambus. We achieved the highest annual revenue in our 20-year history, and 2010 was a record year in terms of our overall financial performance. Helping fuel these results were the many key license agreements signed during the year. We started the year strong with the Samsung agreement. That $700 million five-year deal was a pivotal event for the company. Following Samsung, we signed and renewed license agreement with AMD, GE Lighting, NVIDIA, Elpida, and Renesas. And just a short time ago, we announced we renewed the patent license agreement with Panasonic. Panasonic, Renesas, and Elpida have been long term partners of Rambus, and we are extremely pleased to continue these relationships with these new agreements. The Elpida deal, signed in December, has projected value of $180 million over five years. The terms of Elpida's agreement reflect the long partnership with Rambus and their continued commitment to our mutual success. Based on our projections, the royalty from these agreements signed in 2010 will total roughly $1.3 billion over the life of the agreements. This is an outstanding and historical accomplishment and I'm extremely proud of the work the Rambus team, as the organization made progress on many front. The accomplishments of 2010 serve as a testament to our Value Creation Cycle of innovate, drive adoption, and monetize. We have a number of engagements at various stages in this cycle, but it is rewarding to see such great progress on the monetization activities seen over the past year. An important area of innovative focus for Rambus is gaming and graphics. Next week we will launch a set of innovations that support this key market area. Full details will be announced soon, but as a preview, we will be demonstrating a new test chip at DesignCon that runs at an unprecedented data rate with unmatched power efficiency. I'll discuss this new technology at the opening keynote of DesignCon next Monday, January 31. Turning the mobile market, we are continuing to drive our adoption efforts of technologies that meet customer's needs for high bandwidth, low-power memory solutions. Both our leadership mobile XDR architecture as well as our patented innovations in LPDDR and LPDDR2 offer solutions for the demanding requirements for the next generation of smart phones and tablets. We're also making continued progress on our diversification efforts. Earlier this week, we announced we acquired the assets of Imagine Design, a small and innovative company developing solid state lighting solutions. This acquisition demonstrates our continued investment in our lighting and display business. It also expands the market our solutions can address to specialty lighting segments, like architectural lighting, entertainment lighting, and street lighting. Imagine Design's key inventor, Brian Richardson, has joined Rambus to continue to develop these innovations and solutions. Since creating our lighting and display business just over a year ago, we have built a state-of-the-art design and prototyping facility in Brecksville, Ohio, assembled a team of world-class engineers and scientists, bolstered our patent and technology portfolio with some key acquisitions, and signed a broad licensing agreement with the renowned market leader GE Lighting. Innovation is a critical part of our Value Creation process, the foundation of our success. At the close of 2010, we had reached 1,180 issued patents and another 845 pending applications. We have created a great home for inventors here at Rambus. Teamed with our world-class licensing and patent development platforms, we have an engine that can scale profitably and drive strong future growth. Our performance in 2010 demonstrates the power of the Rambus business model and testifies to the tremendous value created by our engineers and scientists. I'd like to thank every member of the Rambus team for their contribution in making 2010 such a great year. And I'd like to thank our stockholders for their continued interest and support. Now I'll turn the call over to Tom to discuss the latest legal developments.
Tom Lavelle: Thanks, Harold, and good afternoon everyone. As we discussed in a special conference call in early December, we filed a complaint with the International Trade Commission, seeking an investigation into our patent infringement claims against Broadcom, Freescale, LSI, Mediatek NVIDIA, and STMicroelctronics. On December 29, 2010, we received an order from the ITC granting the commencement of an investigation into these claims. We have since been informed that the presiding judge in the case will be Judge Essex. You will recall Judge Essex was the presiding judge in the ITC case filed against NVIDIA in prior years. The NVIDIA ITC case has been appealed to the federal circuit and we are in the briefing stage at this point. We are obviously pleased with the ITC decision to institute the new investigation, and we look forward to presenting our case to Judge Essex late this year. On the adjacent cases we filed against the six companies in the Northern district of California, so far, some of the defendants have filed motions to stay the proceedings pending the outcome of this ITC case. One such motion has been granted, and we know that another one has been filed. Moving now to the price-fixing case. During a pre-trial conference in early January, Judge Kramer indicated that Judge McBride would be the presiding judge at the trial and that the trial could begin on June 6 2011 given Judge McBride's calendar. As we have said since the filing of this case in 2004, we are looking forward to presenting our case to the jury as soon as possible. When we present that case, it is my expectation that it will be against the two remaining defendants, Hynix and Micron. We also have the cases pending with the court of appeals with the federal circuit against Hynix and Micron. As a reminder, the issues before the court were Hynix's appeal of the $397 million judgment against them and our appeal of the Micron Delaware decision. We're currently awaiting a decision by the court and do not have another other updates to provide on that front. With that, I'll turn the call back to Satish.
Satish Rishi: Thanks, Tom. For the fourth quarter of 2010, customer license income was $101.2 million, which represents an increase of 141% from the previous quarter. Of the $101.2 million of customer licensing income, $90.9 million was recognized as revenue and $10.3 million was recognized as a gain from settlement. Just as a reminder, even though we received $25 million in royalty payments from Samsung, accounting rules require us to recognize only $14.7 million as revenue and the remaining $10.3 million as a gain from settlement. In the previous quarter, customer license income was $42 million, of which $31.7 million was recognized as revenue, and $10.3 million was recognized as a gain from settlement. The fourth quarter includes payments from newly relicensed Elpida and Renesas as well as the first payment from NVIDIA. We completed 2010 with four-year customer licensing income of $450.2 million or almost four times the results from the previous year. $323.4 million was recognized as revenue and $126.8 million as a gain from settlement. Again, the increase in revenue was primarily due to the Samsung and Elpida patent royalties. Operating expenses, excluding the gain from settlement, in the fourth quarter were $58.3 million, up 9% from the previous quarter. These operating expenses include approximately $7.3 million of stock-based comp, $800,000 related to the cost of restatement, and $4.3 million for the Samsung settlement bonus accrual. By comparison, last quarter included approximately $7.5 million of stock-based comp, $1.2 million related to the cost of restatement, and $4.2 million for the Samsung bonus accrual. For the full year, operating expenses, excluding a gain from settlement, were $223.3 million, up 18% from the previous year. These operating expenses include approximately $30.5 million of stock-based comp, $4.2 million related to the cost of restatement, and $17.2 million for the Samsung settlement bonus accrual. To provide a better comparison period over period, I'm excluding expenses related to stock-based comp, cost related to past investigations, Samsung settlement bonus accrual, and the gain from settlement from my discussion going forward. Excluding these expenses, adjusted operating expenses in the quarter were $45.9 million, up 13% from the previous quarter. Litigation expenses, included in these numbers, were $5.8 million for the quarter, up 26% for the quarter. Adjusted non-litigation operating expenses were up 11% due to higher incentive-related compensation expenses. For the full year, adjusted operating expenses at $171.3 million were in line with the previous year. Litigation for the full year was $22.7 million, down 59% from the previous year. Excluding litigation, these expenses at $148.6 million were up 29% due to the expenses related in bringing up the LDT division, higher incentive-related compensation, and higher patent-related expenses. Our adjusted operating income for the quarter was $55.3 million as compared to $1.4 million in the previous quarter. For the full year, adjusted operating income was $278.9 million as compared to the adjusted operating loss of $57.7 million in the previous year. We booked a tax provision of $4.6 million for the quarter, and $57.1 million for the year. The provision in both cases is primarily made up of the cash resulting taxes paid on the royalty taxes received from Korea. A tax provision of income of $228 million was mostly offset by a reduction of the valuation allowance from the utilization of $194 million of federal net operating losses, or NOLs, and $20 million of California R&D credits while maintaining essentially, a full valuation allowance on the remaining deferred tax assets of $78 million. Overall cash, defined as cash, cash equivalents, and marketable securities were at $512 million, an increase of $27 million from the previous quarter and an increase of $52 million year over year. We spend approximately $18 million and $27 million on acquisitions in the quarter and in the full year over year. During the year, we spend $195 million to repurchase approximately 9.5 million shares, including the 4.8 million shares repurchased in Q4 through the accelerated share repurchase program, and paid $137 million to settle the zero-coupon convertible notes that matured in February of 2010. A few more comments on the balance sheet. In November, we moved into our new headquarters, which we are leasing for a 10-year period. As we do not meet the accounting criteria for an operating lease treatment, for accounting purposes, we are required to treat our new headquarter lease as a financing arrangement. This means that we have to put an asset in a liability on the books for the value of the facility and the associated obligation. A part of the monthly rent payment will be classification as interest expense rather than operating expense. For the fourth quarter of 2010, approximately $400,000 was recorded as interest expense rather than operating expense. For fiscal year 2011, approximately $3.2 million will be recorded as interest expense instead of operating expense. Now I'll give you some thoughts regarding the first quarter. This guidance reflects our reasonable estimate and our actual results could differ materially from what I'm about to review. For the first quarter, we expect customer licensing income to be between $65 and $68 million, of which $59 to $62 million would be recognized as revenue and approximately $6 million as a gain from settlement. We expect operating expenses to between $56 and $61 million. This includes a credit from the gain of settlement of $6 million, an estimate for litigation expenses of between $10 to $13 million, stock-based comp of $8 million, and a Samsung settlement bonus equivalent of approximately $2 million. Before we open the call for questions, we'd like to address a few inquiries we received from stockholders emailed to our website. The first question: When can we expect to see traction from the MOUs signed with Samsung in January of 2010?
Sharon Holt: I'll take that one, Satish, and good afternoon, everyone. As you know, an MOU of any kind is not a guarantee of a future deal. But what it does is provide a valuable framework and context to engage in further discussions in new technologies and new opportunities. In the case of Samsung, this is especially helpful since we were just coming out of years of litigation. The companies needed to get to know each other again and rebuild relationships. And that's what we've been doing. I'm going to guess that at least part of this question is referring to Mobile XDR. as I've said in previous calls that much of our early engagement with Samsung has been focused on the mobile market. Well, the hunt is on. We are actively promoting XDR in the market with several of our partners. We have nothing to announce at this time in terms of a design win, but we are pushing forward, and we do believe that next-generation smart phone designs will be awarded this year, and we're pushing hard to make sure Mobile XDR gets into some of those. But as I've said previously, at the same time, we understand the landscape in terms of our innovation being used in LPDDR, LPDDR2, and other industry solutions, and to the extent Mobile XDR doesn't find a home in those design slots, we plan to monetize through our patent licensing efforts.
Satish Rishi: Thanks, Sharon. The next question is: The license agreement signed with Elpida appears to be a sweetheart deal for them, especially since they stopped paying you back in April 2008. Please give an explanation as to why you signed this deal.
Sharon Holt: I'll take that one as well, Satish. First of all, I want to make sure that Rambus is pleased with the agreement that we signed with Elpida last quarter. I said repeatedly throughout 2010 that we would take the time necessary to reach the right deal at the terms that Rambus wanted and expected, and that's exactly what we did. Elpida has been a long-term licensee and a loyal partner, and they've helped us over many years to drive new technology into the market. Now that we've resigned Elpida, we're very much looking forward to reengaging with them and driving more new technologies into the market in the future.
Satish Rishi: Thanks, Sharon. And the last question I believe is for Tom. Do you expect the parties named in the ITC case will enter into license agreements before the case progresses?
Tom Lavelle: Thanks, Satish. As everybody should know, we fully and vigorously defend the patent innovations that represents years of work of Rambus scientists as well as the patents we asserted were the product of the MIT scientists from whom we took an assignment of rights to those patents. That being said, we're always open to negotiating license agreements that fairly compensate Rambus for the use of our patent innovations, and we would be very pleased if the named parties entered into license agreements with Rambus.
Satish Rishi: Thanks, Tom. Operator, we can open the call up to questions now.
Operator: Okay ladies and gentlemen. (Operator Instructions) We'll take our first question from Jeff Schreiner from CapStone Investments. Jeff, please go ahead.
Jeff Schreiner - CapStone Investments: Yes, good day. Thanks for taking my questions. Sharon, I think this might be best for you. We're just trying to understand, following the Panasonic announcement tonight, what percentage of the controller market remains unsigned as Rambus sees it, and how much of the controller market that's unsigned is potentially represented with the current case you have pending in the ITC.
Sharon Holt: Hi Jeff. Thanks a lot for the question, and you know what? I'm going to beg off of it. One of the things were doing right now is reassessing the portions of the market that are signed and unsigned in a broader context. As you noticed with the cases we recently filed, we've included both memory controller and serial link technologies which combined gives us a broader market to pursue for licensing. We're in the process right now of updating our analysis for that, so if I could, I'd like to get back to you once we've a chance to solidify our numbers.
Jeff Schreiner - CapStone Investments: Okay. I was just wondering also... thank you very much for Satish, Sharon, and the team for providing a value of the accomplishments that were brought in house at Rambus in 2010. But just maybe wondering, it said about a billion three throughout the time frame of these agreements, what would the time frame be covered in terms of the analysis you used to derive that value?
Satish Rishi: Yeah, Jeff, all of these agreements are five-year agreements, except for GE, which is 10 years. So when we do the estimation for everything on the semiconductor side it was a five-year term that we use, and for GE the estimate was for a 10-year period, and that's how we came to the $1.3 billion number.
Jeff Schreiner - CapStone Investments: Okay, thank you.
Satish Rishi: We didn't build any renewals, any automatic renewals, into our numbers.
Jeff Schreiner - CapStone Investments: Okay, so you just built it to the end of disagreement, assuming that that's the end.
Satish Rishi: Yes, because that's what we've signed so far.
Jeff Schreiner - CapStone Investments: Okay. I was just wondering maybe if Harold, if you could talk a little bit about... you know Sharon was answering one of the questions about Mobile XDR and it's certainly something you're working with, but maybe talk now about the capacity, and does Rambus have the capacity now with Elpida to support a high-volume design win in the mobile tablet field with XDR.
Harold Hughes: That's a good question, Jeff, because it does give insight into how we look to sign DRAM companies. It's in the best interest of Rambus to take to market directly our patented products. As Sharon mentioned, in non-Rambus products, JEDEC products, we still have potential of monetizing through the patent licensing, but we believe the best way to do it is to get Rambus products directly into the market. That requires several things to happen. In the case of mobile phones, we have to have adequate DRAM supply, and in direct response to your question, Samsung and Elpida together, I think, are at that level. We have then convince the SoC manufacturers if it's in their best interests, and then lastly, obviously, the cell phone companies have to see it in their best interest. So all of those are interactions as we price and negotiate license, and we believe we have the appropriate balance now. With Samsung and Elpida, off the top of my head, I don't know what percentage of the mobile market they supply, but it's probably over 50% would be my guess.
Sharon Holt: Over 50% of the total DRAM market and well more than that for the mobile market.
Harold Hughes: So we have the parts in place, the agreements in place to be successful in our primary goal. What I would like to emphasize again, as Sharon did, even were we to fail with Mobile XDR, we have every intention of monetizing mobile devices that use our inventions.
Jeff Schreiner - CapStone Investments: Okay, one last question from me and I'll jump off and let some other people ask, but Satish or Harold, or whoever would like to comment on this, could we get some general expectations of how we should be looking at the model and the inclusion of lighting and what that could look like in accounting or revenues, given that we've had this thing for about a year now and you're starting to build it out. Just wondering if you could give us some help with that.
Harold Hughes: Sure. Let me provide some general structure for lighting. As Sharon has mentioned many time in the past, we divide licensing between technology licensing and patent licensing. In the semiconductor world, we would call a Mobile XDR deal more of a technology license, where we work closely with a partner. Obviously an LPDDR2 patent license would be in the latter category. If we look at our lighting operations, we could divide them also into those general buckets. General lighting, lighting replacing the existing technology is obviously just getting started but we see enormous potential there, and the first customer we've signed, and probably the biggest, is GE, and we will eagerly try to sign other companies, but we see that as a technology licensing market, where the old licensing world is not that well represented and the technology required to be successful in LED lighting and we believe we can supply that. We are working closely with GE, both on designs and creating their supply chain, and hopefully we will have revenue in 2011, but I don't think it will be material. I guess it's important to point out that, given our size, material has become a much bigger number. So in that regard I don't think we'll have material general lighting revenue in 2011. We certainly expect to have material general lighting revenue in 2012. Now turning to the other side of the equation, the patents that Jeff Parker created we believe have applicability to many of today's electronic devices, those with LCD screen and how exactly we will monetize that is being developed by Sharon as we speak. That will be rolled out at a future date in greater detail. Do you have anything to add, Sharon?
Sharon Holt: The only thing that I'd say, Jeff, to just add a little more color to what Harold said, part of our diversification efforts are not only to diversify into new technology areas, but to diversify into technologies that are at different stages in the adoption life cycle. And to the extent we have an opportunity like we do in general lighting, where there's a big disruption in the market as Harold said, it's an old market but it's moving to develop new technology. That creates a lot of opportunity for Rambus to drive and enable the ecosystem with new technology. That's very different from markets which are mature and which the adoption of certain technologies is commoditized. So over time we really hope, between the mix of all the businesses that we have, that we have a healthy balance of things at different points in the life cycle, and the monetization strategies will be different because of that.
Jeff Schreiner - CapStone Investments: Alright, well thank you very much for your time in answering the questions.
Harold Hughes: Thanks, Jeff.
Operator: Okay, thank you. And we'll take our next question from Michael Cohen from MDC Financial.
Michael Cohen - MDC Financial: Thank you for taking my call. My first question for Harold, I was wondering if you could give us a bit of a mini strategy update as we're going into 2011. Earlier on the call you talked about your recent acquisitions (inaudible) diversification efforts. I was wondering if that's how you look at it or are there other strategic components you're looking at as you're evaluating potential patent portfolios?
Harold Hughes: You broke up a bit on that Michael, but let me give a shot as to what I thought you said. What we like about diversification first and foremost begins with what we think we've learned over the years about licensing, about valuing patents, about improving patents, etc. So that is a broad statement about diversification. What we have found is that there is a great convergence of various types of technologies manifested in today's platforms, if you will. Cell phones, tablets, PCs, even televisions, and to the extent that we find pieces of technology represented by not only patents but hopefully the engineers who created it because our model is always to try to hire those engineers, we see that convergence as providing a very interesting licensing approach, and that informs our acquisition group as we go forward. Did that help?
Michael Cohen - MDC Financial: Okay, adding to this question for Sharon: How does this present challenges to the licensing effort? Do you get more varied portfolios?
Sharon Holt: Frankly, I think it presents an opportunity. It is challenging but it's a real opportunity. As we go forth, particularly talking to companies who have multiple businesses under their umbrella, and we have more technologies to offer them, it frankly gives us more knobs to turn as we work on licensing engagement. So as Harold mentioned earlier, part of our work this year is to really take stock of what we've got in house now based on the acquisitions and the ongoing development we've already done as well as anything new we might bring on through the course of the year and try to understand how we can use those multiple portfolios to best maximize our ability to monetize. Frankly, it's a great opportunity for us.
Michael Cohen - MDC Financial: Okay. Would you consider participating in the Nortel auction, or is that too far afield?
Harold Hughes: That's, if you will, a bit rich for our blood based upon current pricing. It's hard to say how that will work out. There may be some elements that become available that are of interest to us. We have looked at it. As you're probably aware, Michael, the numbers are approaching the tenth digit, which is always troubling.
Michael Cohen - MDC Financial: Okay, and my last question is for Satish. I was just wondering if you could give us a general update on the share buyback. How many have been approved and less per remaining before we get additional approval, and what what has been purchased to date?
Satish Rishi: So far, Michael, for the year we spent about $195 million on the buyback and that's close to about 9.4, 9.5 million shares we bought back, which, coincidentally is very close to the number of shares that we issued to Samsung. Back in January, we issued them shares of about $20.88 and I believe we were able to buy back about 9.5 million shares but at a price lower than $20.88. In terms of what's remaining in the buyback, I don't' have the number right now, but we'll definitely have it in our [ph] K1(b) issued in (inaudible) in couple of weeks.
Michael Cohen - MDC Financial: And just for clarification, for the year you're referring to calendar year 2010?
Satish Rishi: Calendar 2010, yes, not 2011.
Michael Cohen - MDC Financial: Okay, thanks very much, and keep up the good work.
Satish Rishi: Thank you, Michael.
Operator: We'll take our next question from Mike Crawford from B. Riley. Mike, please go ahead.
Mike Crawford – B. Riley & Co.: Thanks. A couple of quick questions. One, you disclosed you spent $18 million on acquisitions in Q4 and was any of that for Imagine Designs or was this for other IP?
Harold Hughes: No, Imagine Designs was included in that number. There were three or four acquisitions, four to be exact. Five in total – sorry.
Mike Crawford – B. Riley & Co.: Five in total, primarily related to LED?
Satish Rishi: No they were a combination of semiconductor and LDT related.
Mike Crawford – B. Riley & Co.: Okay, thank you. You said the GE was 10 years, part of that 1.3 billion in the lifetime value, can you bracket that value at all?
Harold Hughes: No, that's confidential, obviously.
Mike Crawford – B. Riley & Co.: Okay, that was worth a shot.
Harold Hughes: By our standards, GE's as well obviously.
Mike Crawford – B. Riley & Co.: And then, I think Harold, you said that Samsung represented about $25 million of value including the gain from settlement in the quarter? I think that agreement is bracketed between 15 to 40 million in royalties unless it's Rambus proprietary IP for the quarter, is that correct?
Satish Rishi: I think, Michael, we didn't really talk about the value of Samsung. I think what I said was we received $25 million in royalties from them, but we recognize revenue but $14, $14.8 million and about 10.2 goes in the gain by settlement. That's just how the accounting works. In the current quarter in Q1, we'll have about 6.2 million which we'll gain by settlement, and then starting Q2, 100% of the royalty received, we will be able to recognize as revenue in our top line.
Mike Crawford – B. Riley & Co.: So, Satish, I guess the question is do you expect the Samsung numbers – the royalties that you record and report in the March quarter were going to be for products that Samsung shipped in the December quarter, correct? And then do you expect that to be greater than the 25 million or less than?
Satish Rishi: The agreement we have said the first six quarters are fixed at 25 million. After that, it starts varying based on a formula that looks at variability of their shipments. But in certain small movements, and it's defined again by every quarter, there is no change in the payments if that ratio goes outside of that band, then there is a change, but it won't be less than 15 and won't be more than 40, but given the variability, we don't know exactly how much it will be, but we are fairly comfortable that 25 will be the number for at least the year-end term.
Mike Crawford – B. Riley & Co.: The final question relates to DeignCon. So you're gong to be presenting a lot of papers. Last year, you guys showed some of your LED technology but it looks like you're not showing this time. Is there a reason?
Sharon Holt: The focus of our presence at DeignCon this year is really around our semiconductor business. That is the primary focus of this particular focus, but there are other industry events and confidences going on throughout the year where we will be showcasing both our lighting and display technologies.
Mike Crawford – B. Riley & Co.: Okay, thanks.
Operator: We'll take our next question coming from Hamed Khorsand from BWS Financial.
Vahid Khorsand – BWS Financial: Actually, this is Vahid calling in for Hamed. A quick question on the success of the renewal you guys signed towards the end of last year. Does that play into any way getting new customers signed?
Sharon Holt: I'll take that one. Clearly, we believe, and I think history shows, that momentum can sometimes play a factor in licensing and we certainly intend to try to use momentum coming out of those renewals. But as those of you who have been with us for a while know, there are a lot of events that can drive a particular company's appetite to sign a new license with us or not. Yep, other people signing is one key factor. Also a factor are any legal outcomes, so we will be obviously adjusting our strategies as we go throughout the year and any new events at all, but at this point, where we are sitting here in January, we have a pretty full pipeline and a lot of conversations going on, and we're going to try to see what we can do with that.
Vahid Khorsand - BWS Financial: You were talking about Imagine Designs and basically moving forward with the lighting side. Do you expect to make specific acquisitions in the lighting – or, I guess is what I'm trying to say is, are you looking to add more technology-driven staff for the lighting or is there going to be another focus as well.
Harold Hughes: I think he asked two questions. Let me attempt to get them both. We intend to build a very powerful market position in lighting. Part of that will be developing technology relationships with key customers but another part of that will be developing a patent position. Our existing engineers are working very hard towards that, and we have, I think, a very capable group looking for acquisitions. If I understood the second part of the question, diversification will follow a similar model to the extend that we can find companies that tend to have relevance to the markets where we currently license and have engineers available whom we might hire and have a strong patent and technology position, they would be a potential acquisition candidate.
Vahid Khorsand - BWS Financial: Okay, thank you.
Harold Hughes: Sure.
Operator: (Operator Instructions) At the moment I am showing no questions. I would like to turn the conference back to your host.
Harold Hughes: Thank you, everyone for listening in. We look forward to seeing as many of you as possible at the annual meeting, and I can tell you that the team will work hard to make 2010 just the first of many excellent years. So hope to see you soon. Thanks. Bye.
Operator: Ladies and gentlemen, this does conclude your conference. You may now disconnect and have a great day.